Operator: Good day and welcome to the Q2 2015 Autoliv, Inc. Earnings Conference Call. For your information, today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Thomas Jonsson. Please go ahead.
Thomas Jonsson: Thank you, Claudia and welcome everyone to our second quarter 2015 earnings presentation. Here in Stockholm, we have our Chairman, President and CEO, Jan Carlson; our Chief Financial Officer, Mats Wallin, and myself, Thomas Jonsson, Group Vice President, Corporate Communications. During today’s earnings call, our CEO will provide a brief overview of our second quarter along with an update on general business conditions, while our CFO will provide some further commentary around the financial results and outlook. Then at the conclusion of our presentation, we will remain available to respond to your questions. And as usual, the slide deck is available through a link on the homepage of our corporate website page. On the next page, we have the Safe Harbor statement, which as you know is an integrated part of this presentation and includes the Q&A that follows. During the presentation, we will reference some non-U.S. GAAP measures and the reconciliations to U.S. GAAP are disclosed in our quarterly press release and the 10-Q that will be filed with the SEC. So, I will now turn it over to our CEO, Jan Carlson.
Jan Carlson: Thank you, Thomas. Good morning and good afternoon everyone. If we start by turning the page, we had another quarter of strong growth and solid financial performance, which is a result of the Autoliv team’s relentless focus on quality and operational excellence. Our organic sales growth of 6.1% during the quarter was most impressive considering the global light vehicle production decline year-over-year and our organic sales in China did not develop as originally expected. This is evidenced that our actions to strengthen our global footprint is the right strategy, which provides a better resilience against volatile markets. This, along with our good cost control, resulted in our better-than-expected adjusted operating margin of 9.5%. In addition, our adjusted return on capital employed of 24%, return on equity of 17% and earnings per share of $1.62 shows our strategies for growth and capital structure are creating shareholder value. During the quarter, we paid a record dividend of $0.56 per share and we returned $49 million to shareholders through the dividend program. Lastly, within our electronics segment, we had another strong quarter with 26% organic sales growth in active safety and are expecting to expand our capabilities in active safety as illustrated on the next page. I am pleased that we have reached agreements on two business opportunities. Our first agreement is to enter into an intellectual property licensed with Volvo Car Corporation. This intellectual property includes advanced driver assistance algorithms and certain active safety features, such as ACCPlus and emergency maneuver and intersection assist, along with sensor fusion algorithms and system capabilities. The second agreement is to acquire MACOM’s Automotive Solutions business, which is subject to customary regulatory approvals. It includes 25 technical, commercial and manufacturing support employees. Technologies included in this opportunity are embedded GPS modules, Electronic Horizon software and hardware, along with other radiofrequency products and intellectual property. The 2015 annual revenues of the MACOM Automotive business are estimated to be around $90 million and we anticipate this transaction to be margin accretive upon closing. These transactions are expected to improve our competitive position in Active Safety, and both are examples where we are expanding our safety system integration capabilities while adding to our building blocks towards autonomous driving. If we turn the page, we have highlighted some of the key models that are contributing to our strong organic growth. During the second quarter, these models contributed to the majority of our overall net organic sales growth. On an annualized basis, these models represent approximately 6% of group sales. If we turn the page again, we have our delivery figures for this second quarter. We continue to improve our underlying market position as we grew faster than the light vehicle production in all product areas. In particular, strong performance with newer products, such as advanced seatbelts, knee airbags and active safety products illustrate our investments in technology continue to payoff. As we mentioned last quarter, electronic control units have already started to recover due to the timing of the new program phase in. If we now look to our development in China and turn the page, we see that during the quarter, we have an increased uncertainty in China around the light vehicle production and underlying market conditions. So far this year, there has been a steady decline in the light vehicle sales and production growth rates, while the negative trend of higher new vehicle inventories that began in 2014 has continued. In addition, we now see certain customers expanding summer shutdowns or reducing working hours during quarter two in an attempt to balance inventories with lower underlying demand. For Autoliv during first half 2015, we have seen a sales decline with global OEMs due to a vehicle demand as VW and Nissan and the phase out of certain models at General Motors, while organic growth with Chinese OEMs has been about 17%. This sales mix is unfavorable for us, since the content per vehicle is 70% higher with global OEMs than with local Chinese OEMs. Looking now on to the second half of 2015, we see our organic growth in China resuming due to launches and our continued strong growth with several Chinese OEMs. Despite all these uncertainties, we remain confident in the long-term growth product – prospects for China. We will maintain our vertical integration strategy, strong engineering presence to support our customers and are taking several actions to mitigate the margin effect of lower growth. Looking now upon the overall market conditions by turning the page, the most recent figures from IHS for full year 2015 indicates the global light vehicle production will grow by 1.8%, down from 2.4% at the beginning of the year. As we alluded to on the previous slide during the second half of 2015, the light vehicle production growth in China is expected to slow to approximately 5% year-over-year. In Japan, the light vehicle production is expected to decline by 2% year-over-year during the second half of this year, while rest of Asia is expected to increase by 4% year-over-year. In the Americas, the outlook remains mixed. In North America, the light vehicle production growth is expected to be 4% for the second half of this year driven by the strong U.S. SAAR, while inventories remained relatively low. In South America, the weak economic conditions continue where the light vehicle production is now expected to decline by 15% year-over-year for full year 2015. This is versus a flat expectation at the beginning of the year. In Europe, the overall light vehicle production for full year 2015 is improving and is now expected to increase by 2% year-over-year. However, Eastern Europe light vehicle production is expected to decline by 2% and Western Europe is expected to increase by 4%. To conclude the light vehicle production outlook, the growth rate in China is slowing and the deterioration in South America continues. These negative trends are partially offset by an improving situation in Europe, while North America remains relatively unchanged. Turning the page, we have highlighted some segment activity. In our Passive Safety segment, we now estimate that we will supply up to 20 million replacement inflators mainly during 2015 and 2016, based upon committed orders and customer inquiries. In addition to this, we have seen an increase in new business awards for frontal airbags over the last 12 months. As many of you know, we acquired Delphi occupant safety business in 2009 and 2010. And since then, we still apply some airbag modules with inflators produced by ARC. Therefore, we are tracking the current situation closely. Over the last 12 months, we have been awarded around 30% of the Active Safety contracts we have quoted. These awards include expanding our customer base in Active Safety as well as the system integration award with a new global customer. Looking ahead, we believe future autonomous emergency braking safety systems will require highly reliable sensor fusion solutions where redundancy is critical. These systems will likely include some blend of radar, lidar and vision sensors and perhaps even Electronic Horizon, depending on the level of automated driving. Now our Chief Financial Officer, Mats Wallin, will comment on the financial outlook. So I turn it over to you, Mats.
Mats Wallin: Thank you, Jan. Looking upon our financial results on the next slide. We have our key figures for the second quarter. Our sales of $2.3 billion, was driven by strong organic sales growth in Active Safety, several brands in Europe, trans bands in North America and inflator replacement business. Consolidated sales were – was negatively impacted by currency translation aspects of close to $240 million. Our adjusted EPS of $1.62 was 12% better than last year mainly due to the lower share account resulting from the share repurchase program and lower tax rate. Despite the higher CapEx trend, our adjusted return on capital employed remains at roughly the same level as last year around 24%. While adjusted return on equity increased to 17%, mainly as a result of our share repurchase program. Looking out our operating margin development on the next slide, our adjusted operating margin of 9.5% was 50 basis points better than our guidance. If you look to the chart on the left, lower than expected ordering and overhead cost essentially drove the margin improvement versus our guidance. When compared to the prior year, as illustrated by the chart to the right, our adjusted operating margin was 20 basis points better than prior year. The benefit from organic sales, commodity costs and currencies was partially offset by higher RD&E net and other net which obviously includes increased footprint cost for growth. As we have noted previously, the increased cost in our footprint mainly includes our buildup for growth, including vertical integration in China and Active Safety. We continue to make progress to improve operating inefficiencies in Brazil and Europe. However, deteriorating market conditions in Brazil and Russia continues to hamper the situation. Looking out to our cash flow on the next slide, our operating cash flow of $154 million was negatively affected by timing in working capital. CapEx net of 4.8% of sales in Q2 was below the range of 5% to 6% that we indicated last quarter. This was mainly due to timing. Therefore, we expect higher CapEx for the second half of the year, mainly due to the ramp up of the inflator replacement program and vertical integration in China. For full year ‘15, we expect CapEx to remain in the range of 5% to 6%, which is essentially 100 basis points higher than our long-term target range of 4% to 5% of sales, mainly due to the inflator investments mentioned earlier. Related to the capacity alignment program for full year ‘15, we estimate the cash outlay of around $60 million, while we now plan to expand more than $90 million for further capacity alignment actions and expect savings this year of close to $20 million. We believe that this expense will conclude the capacity alignment program currently underway. Going forward, over the long-term, we expect the annual restructuring expenses to return to more normalized level. Looking out for the remainder of 2015, we expect another strong year of operating cash flow of $0.8 billion, excluding the antitrust settlements and other – any other discrete items as we saw during Q1. Looking out at our next slide, we have summarized our segment reporting according to our new organizational structure. In Passive Safety, organic sales growth of close to 6% was primarily driven by airbags in North America and Europe, steering wheels in Europe along with inflator replacement business. This growth was impacted by a negative 10% currency and translation effect, the net result of consolidated net sales decline of $89 million to $1.9 billion. For the quarter, the reported operating margin for Passive Safety was negatively affected by capacity alignment cost. Last year this segment was negatively impacted by class action settlements. The CapEx increase year-over-year in Passive Safety mainly reflects the inflator replacement program and activities in China. In electronics, the strong organic sales growth of 8.3% was primarily driven by active safety launches and better customer take rates. The growth was negatively impacted by 9.2% currency and translation effects which resulted in a consolidated net sales of $377 million for the segment. For the quarter, the lower reported operating margin in electronics was mainly the result of our investments in RD&E and negative currency translation effect. Looking now to the next slide, we have our guidance for the third quarter. Based mainly on customer call offs, our organic sales are expected to increase year-over-year by more than 7%, mainly due to the strong growth in Active Safety Europe, North America and the inflator replacement business, along with a moderate growth in China. Sequentially, our consolidated sales are expected to decrease by around 5% mainly due to the seasonality effect in Europe and South Korea. As a result, we expect to achieve an adjusted operating margin of around 9% in the third quarter. Year-over-year, the benefit from organic sales, lower commodity cost and currencies are mostly offset by RD&E costs in electronic and costs mainly related to the ramp up of capacity for growth and vertical integration in China. Sequentially, the 50 basis points decline in our adjusted operating margin is due to the seasonality effect and higher RD&E. Looking now upon our full year on the next slide, our full year indication which remains unchanged both organic sales growth and adjusted operating margin, we anticipate another strong year for our organic sales growth of more than 6%, which is more than three times than expected global light vehicle production. This strong growth is mainly due to Active Safety Europe, North America and includes the inflator replacement business. As a result of our continued execution, we estimate our adjusted operating margin of around 9.5% for full year ‘15. Year-over-year, the positive effects from organic sales, commodity costs and currencies are partially offset by higher RD&E net and costs mainly related to the ramp up of capacity for growth and vertical integration. For the full year we still expect RD&E net to increase by around $50 million from prior year assuming comparable currency rates and commodity cost to improve around $34 million year-over-year. As you can see on the Q3 guidance and full year indication, this full year ‘15 estimates imply a continued improvement in organic sales growth and margin performance during the second half of this year. On the next slide, we have summarized our outlook, which excludes acquisition FX, cost for capacity alignment and antitrust matters and assumes mid-July exchange rates. Base on these currency assumptions, consolidated sales in Q3 are expected to decline close to 2% due to negative currency translation effects which more than offset the strong organic sales growth. Our full year ‘15 indication for consolidated sales is now expected to decline by around 2% due to negative currency translation effects, which offset the organic sales growth. Based on these sales assumptions, we expect an adjusted operating margin of 9% for Q3 ‘15 and around 9.5% for full year ‘15 indication. For full year ‘15, we expect an underlying tax rate of 31%, excluding discrete items. Also assuming our currency mix with a mid-July rate, we believe the positive transaction effects excluding reevaluation effects could neutralize the unfavorable translation effects on EPS for full year ‘15. In conclusion, we are pleased with our execution and strong first half in 2015, which provides a strong basis for continued strong organic sales growth, combined with margin improvement in 2015 despite making record investments in RD&E and CapEx for future growth. On to the next, I will now hand it back to you, Thomas.
Thomas Jonsson: Thank you, Mats. Before we open the call up for Q&A, I would like to remind everyone of our Capital Market Day which will take place on October 1 and 2, where we look forward to showcasing our latest technology innovations and provide an update on our business outlook for the future. That concludes the formal comments for today’s earnings call and we would now like to open it up for questions. So with that, I leave the word back to you, Claudia.
Operator: Thank you, sir. [Operator Instructions] We will now take our first question from Joe Spak with RBC. Please go ahead, sir. Your line is open.
Joe Spak: Thanks. Good afternoon over there. My first question is on the updated replacement business commentary, I think previously you said it will be a 1% to 2% benefit this year, is that 20 million units, roughly in line with that comment? And then continuing on how do we think about how much of the replacement business you expect to retain or some conversion into new wins? I know you talked a little bit about that as well.
Jan Carlson: Okay. First of all, regarding the organic growth for 2015, we still believe it’s between 1% and 2% of organic growth. If you take the second part of your question on sustainable business, we divide this up in two things. On the sustainable replacement which means that it’s not only replacing the recall parts, but a continued supply of inflators, we expect to see little bit short of 1 million units for the coming maybe 2 to 4 years depending on the program. What is more important to point out is that we are seeing an increase in order intake on frontal airbags. And I think that is the bigger sign of business coming our way. Normally, we are seeing a global market share in frontal airbags of around 30%. And we have, for the first half of this year, seen order intake on frontal airbags of 50%, so a significant step up in relation to our global market share and that is a good sign for the future.
Joe Spak: Okay, that’s helpful. The second question is just related to the Volvo announcement can you give us a little bit more detail there? First of all, how exactly is that going to work? What functionality does it specifically give you? Is it actually technology that Volvo themselves are using today or is it technology they abandoned, because at least from the Vision side, I think it’s been pretty well reported that they are using some other third-party technology, so maybe additional color there?
Jan Carlson: This is a system that are in place today at Volvo. It also includes opportunities to gain further development of the current system. This is system integration software, it is not specifically detailed to algorithms or parts of software related to vision systems or so forth. It is on the system level that is fitted into the Volvo cars today that we are working with and this will give us capabilities more towards the strategy we have of being a system integrator for the future cars.
Joe Spak: Okay. And does that mean some of the investment you are making on your own algorithms is pulled back now, because you are happier with this technology or does that continue?
Jan Carlson: No, I wouldn’t say it’s something we are pulling back on it, so that this gives us maybe shorter time to market than what we have anticipated otherwise. We see that this give us mostly a timing advantage to be able to offer up this system capability to other customers.
Joe Spak: Okay, thanks. I will pass it on.
Jan Carlson: Thank you.
Operator: We will now take our next question from David Leiker from Baird. Please go ahead. Your line is open.
Joe Vruwink: This is Joe Vruwink for David.
Jan Carlson: Hi, good morning.
Joe Vruwink: Hoping you could discuss a bit more your segment exposure in China, I appreciate the comments about what domestic automakers versus the global automakers means when we look at segments, so leaving customers aside, it still seems like there is pockets of the market, SUVs, MTVs, for instance, that continue to do very well, small compact cars not so well. So just wondering, a) are you seeing the same segment trends? And b) what might be that implication for Autoliv?
Jan Carlson: We are seeing basically what you see also we are seeing that the market in China is different between Chinese OEMs and global OEMs. If you look to our own performance, we have a quite strong outperformance among the Chinese OEMs, but we have seen an underperformance on the global OEMs. And the reason for that is also if you look to the content per vehicle when global OEMs are declining content per vehicles is approximately 70% higher on the global manufacturers than the Chinese manufacturers. So, from a sales point of view, the global decline – decline on global OEMs have an higher impact on us. If you look to our market share in China, we have roughly 25% market share from Chinese OEMs than we have roughly around little bit more than 35% market share on the global OEMs. So, the effect of global decline is hitting us more. We have also seen a model transition effect here in particular on certain GM platforms as I mentioned during the slide presentation here that is affecting us also the general decline on Japanese OEMs like Nissan has hit at us and also VW. We confirmed that SUV, smaller SUVs are growing among Chinese OEMs and remains to be seen how that is affecting us going forward, but the new launches that we have been talking about that we still see will give us a better boost in second half of the year we expect. You saw an organic decline. We expect to return to organic growth already in the third quarter, but it’s uncertain whether we will outperform the full market for the year as we have been alluding to before due to the decline in volume and also this negative effect on global OEMs.
Joe Vruwink: So, I think just given the news out of China in recent weeks, a lot of investors are looking for some degree of comfort that China is not a looming disaster, let’s say, would you expect even your, let’s take your business, what’s the local Chinese automakers? Do you have confidence in the market, the fact that, that segment continues to grow very strongly, whereas if there were looming clouds on the horizon, you would expect more of a broad-based weakness let’s say, across all of your customers?
Jan Carlson: It’s a hard question. We don’t have any crystal ball here in this room either, so it’s hard to say. The best estimate when we put together our collective knowledge with our Chinese teams and what we see overall generally speaking we believe that Chinese OEMs will continue to have a positive development in second half. I think the uncertainty we have seen over the last one, two months in China can throw everything up and down here. So it’s hard to say. The best estimate we believe is a continued positive development for Chinese OEMs in second half for the time being.
Joe Vruwink: Okay. And then last one for me, it would seem that, just given the China outlook moving a bit lower, Brazil has been a headwind, the inflator updates, that’s a lot of new headwinds, let’s say it would seem like something got better relative to three months ago, are you seeing better growth out of the U.S. and Europe than you originally expected for the second half?
Jan Carlson: I think we are seeing a good development for ourselves. If you look to our outperformance in both Europe and Americas, we are seeing a good performance in both of those regions. And this is the strength we being a true global company when things gets happening like it is right now in China, we increased the resilience as a global company are able to maintain and continue even though you see in major markets a decline. So there are pockets of improvements here. Also the Active Safety growth that we are seeing here for the quarter is maybe somewhat better than we originally expected. It’s in line with the growth that we have been talking to – are coming down to the levels we had been talking to, but we are seeing a – also positive development there. So that is the balance between the different areas.
Joe Vruwink: Great. Thank you.
Jan Carlson: Thank you.
Operator: We will now take the next question from Ryan Brinkman from JPMorgan. Please go ahead sir. Your line is open.
Ryan Brinkman: Okay, great. Thank you very much. Just a follow-up on that last question about China, I am curious if your full year organic revenue growth guide which was encouraging and maintained, is that predicated upon IHS figures or something more conservative than IHS given the comments that you made earlier about customer call-off, summer shutdown, etcetera?
Jan Carlson: We normally based our quarterly guidance for – on call-offs and then we used IHS as a basis for the outer quarter within the year and for the indication that we gave. So Q3 basically based on call-offs and Q4 aligned with IHS. Of course, we are doing a review in particular when it comes to China and we see the uncertainty we are reviewing this. So I would say this is a blend of our own work intensively done for this forecast and IHS numbers. And as you have seen, IHS has very drastically revised down the Q3 numbers here and the Q2 numbers. They are also revising the Q4 numbers, but then in the other direction. So we would look upon that nuance here and the changes they have made and then we have course overlay that with our own opinion.
Ryan Brinkman: I see, okay. Thanks, that’s helpful. And then just maybe a couple on the automotive solutions business, I mean firstly, it looks like the price to sales acquisition multiple was really quite reasonable for the type of business that it’s engaged in, can you help us at all what type of multiple of trailing or forward EBITDA earnings that you might have paid or anything qualitatively pinpoint to at least, I know you talked that the margins have been higher anything more about financial performance of the business?
Jan Carlson: No. This business hasn’t closed yet, so we may come back and give you more color on that after closing. We have communicated here that this business is accretive on the margin on group level and that’s the financial information we have left so far. And we stay with that and may come back after closing.
Ryan Brinkman: Okay, that’s fair. Maybe just a non-financial question then, can you talk about as the motivation was more to expand into a new Active Safety electronics area or to expand your – or enhance your current ADAS offerings. And then any kind of detail at all on who their customers are or what their [indiscernible] exposures or anything like that?
Jan Carlson: Again here, we stay out of more details around customer base, etcetera as the business hasn’t closed yet. Our motivation for buying this business is a combination of the product offering that is an important part going forward into advanced driver assistance, but also most probably autonomous driving. We are looking even more interestingly into Electronic Horizon, which is today in development within the automotive solutions. It is, prototypes in place. It gives a very interesting piece to us when we are working for safety into the future car. So it’s a combination of the existing order book in business and we believe very interesting opportunity to add a building block for all offering in autonomous drive.
Ryan Brinkman: Okay, great. Thanks for that color. Thank you.
Jan Carlson: Thank you.
Operator: We will now take the next question from Eric Hassan [indiscernible] Capital. Please go ahead. Your line is open.
Unidentified Analyst: Hello. Thanks for taking my question. I had a question on your margins long-term, the trend will obviously be that the proportion of Active Safety that you sell will go up over time and you seem to be doing really well in that area with your initiatives. I understand it’s less profitable today than your existing bread-and-butter business, if I may call it that, but how do you look at margins in Active Safety over the long-term?
Jan Carlson: We haven’t given any specific guidance more than what we have said in the past. There would be any reason that the Active Safety business would at some point reach corporate average at least. We haven’t said anything why and when and so forth and the timing of it. You know this is very much related to the investments you are making, how fast you are going, how much you spend in engineering and so forth and so on. So that’s where we stay. We may come out in the Capital Market Day in the beginning of October and tell you some more about what we see and little bit more on the future outlook. So we defer any answering this – to this question to the Capital Market Day.
Unidentified Analyst: Thank you very much.
Jan Carlson: Thank you.
Operator: We will now take our next question from Thomas Besson from Kepler Cheuvreux. Please go ahead, your line is open.
Thomas Besson: Thank you very much. A few questions please, coming back to China, would you mind sharing with us what you are currently assuming internally for H2 and 2016 in terms of production and the same question goes for global production for H2 and 2016 please?
Jan Carlson: Did you say H2 2016?
Thomas Besson: No H2 2015 and then 2016, both for Chinese production and for global light vehicle production piece, your internal assumption for the market?
Jan Carlson: We used the IHS as we alluded to. We use a combination of the IHS and our own opinion. But if you look to the IHS numbers for H2 2015, it is up 4.6%. So H2 combined light vehicle production is up 4.6% according to their latest number year of July 16. 2016, I don’t have at hand any number for it, unfortunately, I am sorry.
Thomas Besson: Okay. But so that we are totally clear, you have a backup plan for potentially much weaker industry volumes, just in the case, because we have seen that…?
Jan Carlson: We look at these numbers – this number that I referred to the 4.6% for H2 2015, it’s an IHS number. We are looking ourselves and overlaying what we see from customers, what we have seen in the first half and trying to do our best estimates as of that when we are doing our guidance. But this is the 4.6% HIS number that I am referring.
Thomas Besson: Okay, great. On the acquisition you have announced last night, can you indicate if it’s included in the unchanged guidance now or if we have to take it on top of the unchanged guidance for the full year?
Mats Wallin: It’s not included in the guidance.
Thomas Besson: Okay, great, very clear. Just want to check one quicker point please, am I correct to understand that you were talking of up to 25 million. I know you are talking of up to 20 million inflators in ‘15/16 or did I miss something?
Jan Carlson: No. Well, we have been talking about building capacity up to 25 million. Now, we talk about inquiries and orders for up to 20 million. So in the past, it has been a capacity number and now it is an inquiry and order of supply up to 20 million. We are building and adjusting the capacity to this number for the most of it. Some of the long lead items we are continuing to build for 25 million, but this is – when you build an inflator, it’s a lot of different parts and components from everything from the [indiscernible] like the gooney that we use or the igniter or the assembly lines, etcetera and some of these long lead items are still building up, but it’s a smaller amount of the total investment if you build an inflator.
Thomas Besson: Because it hasn’t changed much?
Jan Carlson: Say again?
Thomas Besson: It hasn’t changed much therefore, so it’s really a marginal term?
Jan Carlson: Yes. It is we are now talking about the number of units we expect to build and supply instead of talking about capacity that I think is the change in here.
Mats Wallin: Then on 2016, they are likely in production globally, IHS currently has the 2.9%.
Thomas Besson: Okay, great. Thank you. On the one-off cost you have talked about the end of your alignment period, what would you call the normalized one-off cost something like 20, 25, 25, 30 as we had in the past or higher, because you have higher revenues today?
Mats Wallin: We will have to come back about the long-term of this and what’s sort of the normal level in our Capital Market Day.
Thomas Besson: Okay, great. I have one final question. Sorry, I asked lot of questions. I understand I am a bit overdoing it. On buybacks, can you explain why you slowed significantly the base of buyback over Q2?
Jan Carlson: Well, I don’t think we bought back any shares in the second quarter. And I don’t think we ever could have done buying any back shares either as we have potentially would have been insiders on the acquisitions and some of the agreements we have announced today.
Thomas Besson: Okay, great. Thank you very much.
Operator: Thank you. We will now take our next question from Sheila Weekes from Bank of America Merrill Lynch. Please go ahead. Your line is open.
Sheila Weekes: Thank you for taking my questions. My first one is just on China, you mentioned that you have got lower content with the local OEMs do you mind just specifying what percentage that is? And then also how do we think about the margin that you achieved with the local OEMs?
Jan Carlson: The margins we are not commenting specifically. So, we don’t comment on margins either by segment or country or so. If you look to the supply value or supply value in China, it’s on the average around $73 and if you look to the global OEMs, above $80, between $80 and $90. And if you look to the Chinese OEMs, it’s slightly below $50. So, you have a quite significant difference there between the supply value on Chinese and global.
Sheila Weekes: Thank you. And on the replacement inflator business, is there any change in terms of the phasing in 2015 and 2016 and how we should be thinking about where those sales will actually come through?
Jan Carlson: No. We have not – we have talked about it. We would have a ramp up here starting in second half and that is exactly what is happening. We are ramping up here initially in second quarter. We will continue now quarter three being in production quarter four. And we said before in the very early stage that we saw the totality, two-thirds in ‘16 and one-third in ‘15, this might have changed a little bit. But I can’t give you any big color as this is fluctuating quite a bit as you have seen a lot of more recalls happening here. So, it’s a difficulty for us to give you any exact numbers.
Sheila Weekes: Thank you.
Jan Carlson: Thank you.
Operator: We will now take the next question from Richard Hilgert from Morningstar. Please go ahead sir. Your line is open.
Richard Hilgert: Thank you for taking my question this morning. On the acquisition, apologies if you addressed this already, but I had to step away from it. Are you bringing in-house any integrated circuit fabrication or will MACOM be more like a contract foundry business for you for chips? And this electronics business, MACOM will be a supplier to you for the modules and the other technologies that you are acquiring?
Jan Carlson: We – MACOM today uses external subcontract manufacturing for the product. And to what extent we will – when this is closed, changed that and how we will handle this, we will have to come back to. I will stay out of any commentaries as this business hasn’t closed yet about our strategy going forward around this. But as of today, it is a contract manufacturing arrangement that MACOM uses today.
Richard Hilgert: Okay. And then most companies like MACOM in this sector, they supply not just automotive but other sectors as well, but they generally have EBIT margins in the 20% to 30% range, does that sound unreasonable for the business that you are acquiring?
Jan Carlson: I am staying out of any such comment at this stage. The only comment we have to say here is that this is accretive on the group margin for Autoliv.
Richard Hilgert: Very good. Thank you.
Jan Carlson: Thank you.
Operator: We will now take our next question from Brian Johnson from Barclays. Please go ahead.
Brian Johnson: Yes, good morning and good afternoon anywhere you are.
Jan Carlson: Good morning.
Brian Johnson: I will be the one person who doesn’t ask about China.
Jan Carlson: Okay.
Brian Johnson: I want to talk a bit about the electronics division or segment. Two things, one, margins overall or let me start with organic growth. Organic growth was flat year-over-year, is that timing of programs? Is it just that the assuming the Passive Safety electronics? Is that kind of what we are going to see as you shift to active safety or was there something going on in the quarter?
Jan Carlson: It is the Passive Safety electronics we are starting to. What we see there is that we haven’t changed the overall model for the moment. So, that’s why it’s little bit slowing down on the growth, but then we should kick in with new models later on. So, it should come back.
Brian Johnson: Sure. That’s the model changeover. And second around the op margin down year-over-year despite 8.3% revenue growth, is that due to investment? Is that due to lower margins currently in active safety?
Jan Carlson: Two factors basically. First of all, we invest – we have higher investments in R&D and as you have heard, we have around $50 million higher investment this year at comparable rates. And the big part of that is related to electronics. So, that’s one factor for the margin. The other factor is also that electronics is buying quite a lot of materials in dollars, but we have quite substantial activities in the Eurozone. So, we are impacted in electronics segment by negative transaction effects year-over-year due to the strong market.
Brian Johnson: Okay, thanks.
Jan Carlson: Thank you.
Operator: We will now take our next question from Brett Hoselton from KeyBanc. Please go ahead.
Brett Hoselton: Good afternoon, gentlemen.
Jan Carlson: Good morning, Brett.
Brett Hoselton: I wanted to kind of take a step back thinking about the Active Safety ADAS in a greater vehicle so forth. Two questions. One, OEMs, what kind of interest are you seeing expressed by the OEMs in terms of what kind of interest level is there in actually having a system integrator, I think that’s the direction you are heading, but what kind of interest do you see at the OEM level in that capability at this point in time? And if it’s just at an early stage, how do you see that developing going forward? Is that something that you think is going to be in demand a year from now, 5 years from now, 10 years from now? And then second question would be as you kind of look at the building blocks that you have added, what other building blocks do you think you might need to add in the future to become that system integrator?
Jan Carlson: If you look to the demand, I think it is varying from OEM to OEM, but you may have one or the other or a couple of very advanced premium OEMs that are looking to do this themselves for the foreseeable future to a large extent. I don’t think when you would run into a full-fledged autonomous driven car that any OEM can do this by themselves or any company can do this by themselves. This will be a combination or a cluster of suppliers, OEMs working together. I also believe when you look to the software complexity and generally in the autonomous driven vehicles that you will see more and more collaboration order and between different players to develop complex software. So I think on the other hand you may have another level of OEMs a set of OEMs that are garnered rely upon suppliers, advanced system suppliers to guide them into autonomous driven cars. And we all know that some automakers are doing this as a significant part of the trademark and some OEMs are not. So it varies from OEM to OEM. We believe we see already a demand from this system integration. And I mentioned here in the slide presentation that we have gotten a system order to a global OEM already, where they have valued the system capability was the key differentiator and possibility for us to get the business. So this demand is already out there and we believe it’s increasing.
Brett Hoselton: And then as far as additional building blocks, you have got the global positioning system capabilities now, as you kind of look at the technologies that are out there and what you feel that you need to control or have in-house, let’s say are there any call it holes in your current portfolio that you look at and hope to fill at some point in time?
Jan Carlson: Well, I think what is important is to – of course, to steer and to brake and to see and it’s a combination of environmental sensing and Electronic Horizon to be able to predict where you are growing, where you are. But it’s also very important in autonomous driven cars to be able to actuate, to actuate the car in one shape or form. So we have been talking a lot about, even in the past we are looking for also chassis systems, we are looking for other technologies, we are looking for vehicle to vehicle communication. I think what you see us announcing here late yesterday was one step in the direction and the strategy we are executing. So we hold on to our strategy and we execute accordingly. And that so far has been doing as well.
Brett Hoselton: Excellent. Thank you very much Jan.
Jan Carlson: Thank you.
Operator: We will now take our next question from Fei Teng from Credit Suisse. Please go ahead, your line is open.
Fei Teng: Hi. Thanks for taking my question. I want to just come back to the replacement inflator business and the 20 million number that you gave, can you confirm this number is now the absolute maximum number that you produce over 2015 to 2016?
Jan Carlson: No, we cannot confirm that. That is our best estimate today based on confirmed orders and inquiries. But as you know, this is so volatile and so fluid that I cannot confirm that.
Fei Teng: And can you give us split between what kind of volumes have been confirmed and what kind of volumes are still under discussion within that 20 million?
Jan Carlson: No, I cannot give you that. This is a combination of inquiries that we are seeing with the likelihood of coming our way and confirm business. And we have given you this up to 20 million as it looks today. So this is our best estimate today
Fei Teng: Okay, I see. On China, just one particular question as well, can you just explain if the problems you have had in the past quarters in terms of the irregular call-offs, are they still continuing on top of the new kind of incremental headwinds or is that receded now?
Jan Carlson: Can you repeat that last question, sorry I didn’t get it.
Fei Teng: Sorry, in the past quarters you have said that you have experienced irregular call-offs from your customers and that’s been impacting your organic growth in China. I was wondering if that problem has now receded or if that’s still continuing on top of the new problems that we have seen in this quarter?
Jan Carlson: Yes. It’s a mix situation. If you look to the situation here in quarter three. There we are seeing increased summer shutdowns from several OEMs. And if you compare year-over-year on our normal quarter three, there is a difference this year of increased summer shutdowns and many more days in certain OEMs than we are used to – we have seen in the past. Referring also back to give you some more color without giving you any numbers or so, but it is the absolute majority of the up to 20 million inflators are confirmed business and the rest is on inquiries.
Fei Teng: Okay. Thank you very much.
Operator: We will now take the next question from Hampus Engellau from Handelsbanken. Please go ahead.
Hampus Engellau: Thank you very much. I have two questions. First question is related to what you were referring to during the call on the ARC recall on airbag inflators related to your Delphi acquisition, could you quantify on what volumes you are looking at here? It’s my first question. Second question is more related to this vision systems that you are about to launch, if you could maybe tell us some more when it’s going to happen this year and also we have heard different rumors on being quoted on TAM models etcetera? Those are my questions. Thanks.
Jan Carlson: If you talk about the ARC, we are supplying as a result out of the Delphi acquisition and the remaining parts we buy – still buy from ARC. Its ballpark about 0.5% of the number of units we supply in total in Autoliv. So it’s a very small amount that we have had. We inherited a bigger amount, we have faced out ARC over time over the years here into Autoliv inflators, but we still remain supplying that amount. If you look to the vision business, we are seeing very good commentaries from our customers on the vision business here. We are in general seeing a quite satisfactory hit rates on the quoting business that we – on the business that we are quoting. Of the business we are quoting, we believe that we have a hit rate of around 30%. So we are quite pleased with the reception and we are very pleased with them, particular the stereovision technology that we are seeing here. They give us very good commentaries, in particular they are the combination and the redundancy combination to radars and also the redundancy aspect of our system in total.
Hampus Engellau: Thank you.
Jan Carlson: Thank you.
Operator: We will now take our next question from Anders Trapp from SEB. Please go ahead, your line is open.
Anders Trapp: Yes. I have two very simple questions, really. Mats, you were talking about the return to normalization level of costs for realignment or restructuring of European business, just wondering what the normalized level is, I guess it’s not $90 million. Secondly, you are also – Jan, you were talking about reason for not doing buybacks and second quarter was the potential conflict of being insider due to the acquisition, now that acquisition is out in the open, there is no such conflict, so does it mean that you are indicating you might resume buybacks in the third quarter?
Jan Carlson: I can start with taking the second question. We are very generally shareholder friendly, returning money to shareholders. We demonstrated that by an increased dividend. We have had a quite substantial buyback program and we are generally shareholder friendly. We have an strategy to execute and to build for growth. And we believe that when we can use our cash to build for growth and to generate shareholder value over time by investing in our activities, we are doing that. When we don’t see that opportunity, we return money to shareholders generally through dividend program or buyback program that we have used as tools in the history. So looking forward, we will see how we can best use our cash to what we believe will be an attractive company to shareholders going forward. So generally we will have the same approach looking ahead.
Mats Wallin: Anders, you were questioning about the normalized level, our plan here is to come back and elaborate along with this when we come to the Capital Market Day.
Anders Trapp: Alright. I will wait for October. Thank you.
Operator: We will now take the next question from Agnieszka Vilela from Carnegie. Please go ahead, your line is open.
Agnieszka Vilela: Hi. I have three questions. First question is with regards to the kind of permanent airbag business that you are getting, you said that your market share in the – for the new orders in frontal airbags is today around 50% compared to previously 30%. And my question is, is it sustainable? And also when will these orders translate into sales?
Jan Carlson: Okay. Our current global market share that we produce and ship today is around 30%. Order intake for first half of this year of all available orders that we can see and that we are aware of, we have – we believe taken 50% of all the business. This means that these orders will turn into sales, let’s say, between 12 or 24 or 30 months, so depending on the program, etcetera it’s hard to say when this is coming into play, but that’s normally the cycle from order to business.
Agnieszka Vilela: And just a follow-up, could you specify your – quantify your sales for the frontal airbags for you?
Jan Carlson: The sales number for frontal airbags, do you have that Thomas? We will have to come back to that. I don’t have on the top of my head our sales revenue for frontal airbags as of today. I will have to give you that number. We have to give you that number.
Agnieszka Vilela: Okay, thank you. And then my second question is on the capacity alignment program, you are increasing your spending there. Could you just remind us of the status there? And also what regions are most affected? And what you are seeing in the near future?
Jan Carlson: If we look to the capacity alignment program, we are seeing it’s based on the light vehicle production of course globally. This is absolutely mostly related to Europe. And we are seeing long-term, our capacity footprint in Europe being not adequate to the long-term light vehicle production. Therefore, we are now taking a step to do what we believe is a final part of this capacity alignment program that we had run for a number of years. And then as Mats said before, we will after that return to a more normalized level. So, it’s related mostly to Europe and what it will be and what kind of activities remains to be seen. We will have to go through a lot of work before we can shed any lights on that.
Agnieszka Vilela: Okay, thank you. And my last question is on Active Safety, what is your view on the prices for such systems in the future? Do you believe that the prices will go down when the systems will be more available and more popular or conservative seeing that you can get higher prices one for example you will have more features on such systems?
Jan Carlson: Yes. It’s a blend of both. Of course, it depends on what you supply. If you supply more content, the total price will go up. That’s clear. And as we are now broadening our offering a little bit here with the MACOM acquisition that we announced here yesterday, we have an opportunity to come and have a better total price on our product offering. So, that is good for us. Otherwise, as you know in the automotive industry, the more mature the products are, the more prices are declining and that’s the history of everything that we are dealing with. But new technology has generally slightly steeper price decline that we have talked about also before. Overall, we have not seen any change in average price decline. It is between 2% and 4% that has been so for many years.
Agnieszka Vilela: Thank you.
Jan Carlson: Thank you.
Operator: We will now take the next question from Itay Michaeli from Citi. Please go ahead.
Itay Michaeli: Great, thank you. Good afternoon.
Jan Carlson: Good morning.
Itay Michaeli: So, I want to go back to China, so it looks like you have a pretty good sense of visibility from your customers at least in the short-term through customer call-offs. So, I was wondering what you are assuming roughly for China LVP in the third quarter? And I think you mentioned about 5% for the second half of the year, but perhaps more in the third quarter and how you think that kind of initially compares with I think IHS’ view of the third quarter about up 4%?
Jan Carlson: We refer – when we speak we refer to the IHS numbers, because otherwise, it’s only confusing as you have call-offs that are changing from time-to-time. So, the references that we give are the IHS number and our own estimates that we keep for ourselves as a basis for the guidance. On the IHS number today, in the latest revision, it’s 3.1% for the third quarter and that is a very steep revision down with 7.8% from over 10.9% as we saw in the April earnings call. So, a very steep decline is the IHS prediction.
Itay Michaeli: Okay. So, it sounds like you view the IHS prediction as fairly reasonable at this point for the third quarter?
Jan Carlson: As I said, we always overlay what we believe taking into account our communication with customers in terms of shutdown days and what we are able to get and to then give that in a translation to a number like IHS that’s not the way we are operating. We are looking more to individual customers and their operating days, the volume predictions, what type of content we have for vehicles and then from there building it up. So, it’s therefore, it’s difficult and confusing sometimes to translate that into a percentage, global percentage for China for us, that is we could probably do that, but it’s a quite hard work, but it doesn’t make so much sense for us doing so. It’s more the basis for the overall sales that we can get out in the quarter.
Itay Michaeli: Now, that’s very helpful explanation. Just to clarify did I hear correctly before that you do expect the company’s organic growth in China to turn positive in the third quarter? I thought I heard that earlier.
Jan Carlson: We said that we expect to turn to growth to organic positive growth in the third quarter and in the fourth quarter as well. But as we also communicated we doubt that we might outperform the overall light vehicle production in China for the year. We said in the previous quarter call that we believe we could do that, but now with the situation of so much lower volumes in particular the OEM and then referring to the content per vehicles as we said that has a higher impact car per car to us and also the lower volumes or launches it might be difficult for us to outperform for the full year. That is our best estimate today.
Itay Michaeli: That makes sense. And then just lastly, on the cost controls in China that you alluded to, I think on Slide 7, could you talk a little bit more about what you are doing and perhaps as we think about modeling sensitivities for Autoliv in China, roughly what kind of decremental margins should we be thinking about if things were to get worse? And how much tightening specifically can you do on cost as the market slows?
Jan Carlson: We are continuing to invest for engineering for vertical integration executing on our strategy. We are tightening the belt as fast as we possibly can when it comes to headcount and when it comes to cost related to other discrete items or higher increase or whatnot in their area of capacity or production capacity. These are initiatives that are already ongoing and that will continue to the extent possible if volume slows down, but as I also say, it varies from plant to plant and from product to product and that is giving us not a one-off, because some OEMs are doing good, some OEMs are doing worse. And of course, the temporary reduction is something we are doing as much as possible.
Itay Michaeli: Perfect. That’s very helpful. Thanks so much.
Operator: We will now take our second last question from Erik Golrang from Nordea. Please go ahead.
Erik Golrang: Thank you. I have two questions. The first one coming back to the previously discussed topics here on Slide 9 and you talked about a 30% market share I think on orders for electronics, what products do you include in that number? And also the interest for the stereo and mono vision offerings does that also include your own software and algorithms?
Jan Carlson: The 30% we are talking to here is not the electronics segment. It is the Active Safety product, the Active Safety product part of the segment electronics. So this is 30% of the quote that we have given and the hit rate of that which we believe where we have one. If you look to the stereovision product that we see, we have seen a very, very good feedback from our customers that we have presented to. We have presented technology. We are launching here later on this year. And in particular when they look upon the robustness of the system, the performance of the system, they are impressed, they talk about state-of-the-art, world-class, etcetera of technology innovation systems here. So we are – we are very pleased with the feedback that we get.
Erik Golrang: Thank you. And then the second question is on Brazil and the news in the quarter or recently about another potential anti-competitive situation here. You have been involved in that now in North America, Europe and now then also potentially South America, how should investors look upon this both in terms of Autoliv’s historical performance and the future, I mean it covers a pretty big part of your business?
Jan Carlson: Yes. It is – it’s extremely unfortunate and very annoying. And it is something that is absolutely not acceptable in Autoliv. It is just a behavior that we are out routing in Autoliv and we saw this first subpoena coming from Department of Justice in 2011 and we have seen other activities happening since then and now this latest one in Brazil. The activities of this we believe is misconduct or unlawful behavior potentially happening before 2011-2010 timeframe. That is our belief that we are seeing here. So this goes back some time to the timeframe of the other bad behaviors that we have seen. We are cooperating of course with authorities. We are doing what we can to help out and to make this sort of progress in the right way. I just want to assure you as any investor listening into this that this is nothing that Autoliv stands for and is not acceptable in any means and any way.
Erik Golrang: And in terms of it potentially having had an impact on pricing historically, now that could change going forward, any comment on that?
Jan Carlson: I stay out of any such comments on this one. As this is an ongoing investigation, I will stay out of anything related to that.
Erik Golrang: Thank you.
Operator: [Operator Instructions] We will now take the next question from Ashik Kurian from Goldman Sachs.
Ashik Kurian: Hi. Thanks for taking my question. I just got two quick ones. First one, you mentioned the increased order intake you are getting on airbags, so just wondering what – where your capacity stands to deliver this increased growth because on one hand you seem to be aligning your capacity in Europe, so is the additional capacity up to 25 million that you are building in North America and Japan, would that be sufficient to cater to this increased order intake or should we expect additional CapEx in the outer years. And second question, if you can just give us what the FX tailwind was on operating margin in Q2 and what your updated guidance for the impact on the margins for the full year is going to be?
Jan Carlson: If you look on to the capacity, we believe that we will be able to cope with this. This is an increased order intake. And we believe we will be able to handle that within the plants that we have. Probably, we will be able to do some investments in lines and toolings, etcetera in the normal course of business. So we don’t believe that even this is a significant step-up from 30% to 50%, it would cost us any un-normal matters or problems. And the next part, Mats?
Mats Wallin: Regarding if I go to your question right, you talked about the FX in the second quarter, we had of course on the sales line, but also on the EBIT line and the negative translation effect, as you know more than 70% of our sales are non-dollars. We have a negative impact there of close to 10% negative on translation. On transaction and revaluation – transaction, we are slightly positive. On reevaluation effects, we were negative in this quarter. So we estimate that the net impact on EBIT for the quarter was negative in dollars of around $6 million. But the outlook on the FX is still that we believe that the transaction, the positive transaction effects should excluding revaluation of course, should be able to offset the negative translation on EPS. So that’s how we view sort of the full year. Then if – I think you also talked about other tailwinds, the other tailwinds we are also having is of course the commodity cost and we see for the full year a tailwind of around $34 million on those costs. Did I answer the question?
Ashik Kurian: Yes. I think previously you mentioned something in the range of 30 basis points to 50 basis points as margin tailwind from FX in 2015, I was wondering if that is still the case, I mean if the impact on EBIT for the full year is flat then I would assume it’s margin tailwind because you will still have negative impact on your top line, right? I was just wondering whether the range was still in the 30 basis points to 50 basis points of margin tailwind?
Mats Wallin: We haven’t really set it like that. We have a tailwind on transaction and no doubt of that. And the structure of that tailwind is quite similar to what we saw early in the year. But I think the important thing for us is to – that we believe that, that tailwind should be able to offset the negative impact from translation on EPS. And then I think you can follow the numbers from that.
Ashik Kurian: I think I just have one quick follow-up. I know you mentioned over time, Active Safety or the electronics margins should be similar to the corporate average. We are seeing margins declining in Q1 and Q2 versus the previous year, I presume it’s higher investment and stuff, is there a timeline or is at some point when the decline will start, can you give us some color on when we can expect the margins to at least stabilize on this – on the electronics side?
Jan Carlson: We haven’t given any timeline so far. We will potentially be back on this and give you some indication on margin outlook on the Capital Market Day. So you have to bear with us for maybe another couple of months.
Ashik Kurian: Sure. Thanks a lot.
Jan Carlson: Thank you.
Operator: We will now take our final question from Thomas Besson from Kepler Cheuvreux. Please go ahead.
Thomas Besson: Yes. Thank you. Just a very quick one, on the significantly higher order intake for frontal airbag, could you comment on the pricing level you get for these new orders and whether this is going to be eventually a better business than it used to be, because my memory on that is that you took voluntarily your market share down for this kind of business because it was carrying lower margin than the rest of the Passive Safety business?
Jan Carlson: Well, I don’t think it was around this, it is working so in this industry as we all know that you can’t get everything. And we had a superior technology on the side systems with state-of-the-art curtain technology and side system overall performance. And therefore, we were more attractive in getting the side system business and if you that our market shares today on side system, it’s significantly higher than that. And therefore, we lost back on the frontal business as customers don’t want to give everything to one suppliers normally. We have gotten some full system cars, but that is not the normal habit. And I am not able and we are not commenting on pricing for special orders or for special situations in general. So unfortunately, I don’t have any good answer to give you there Thomas. Referring to the previous question we got here also when – on the capability related to these orders and this higher order intake, this is half a year of order intake, so it’s something that we will remain and see and follow how this will develop over the second half of this year and therefore also deal with capacity along those lines. But so far we don’t believe this will be a issue beyond the normal course of business.
Thomas Besson: Thank you very much.
Jan Carlson: Thank you.
Operator: Ladies and gentlemen that will conclude today’s Q&A session. I would now like to hand you back to Mr. Carlson for any additional or closing remarks.
Jan Carlson: Yes. I would like to thank everyone for your attention of course and therefore the continued interest in Autoliv and all the interesting questions in today’s call. We look forward to speaking with you again during our third quarter earnings call on Friday, October 23, 2015. I wish you all a very safe and relaxing summer until then and I wish you goodbye for now. Thank you.
Operator: That will conclude today’s conference call. Thank you for your participation ladies and gentlemen. You may now disconnect.